Operator: Good morning. This is the Chorus Call conference operator. Welcome and thank you for joining the Nexi First Quarter 2024 Presentation. As a reminder, all participants are in listen-only mode. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] At this time I would like to turn the conference over to Mr. Paolo Bertoluzzo, CEO of Nexi. Please go ahead sir.
Paolo Bertoluzzo: Good morning to everyone and welcome to Nexi call for first quarter results 2024. As usual, I'm here with Bernardo Mingrone, Stefania Mantegazza, who leads our Investor Relations activities and a few colleagues from our team that may help us in case you have very specific questions. As usual I will start by summarizing the key messages. Then we'll deep dive in a topic that is very strategic for us and we understand attracts a lot of interest from our investors the topic of payments and software integration. We'll then hand over to Bernardo that will cover results in more detail and I will come back for final comments. And obviously then we will have time for your questions. Now let me start with the key messages of today on page 3. The first message is that we continue to consistently deliver on growth and also on margin expansion at the same time. In the quarter our revenues did grow about 6% with Merchant Solutions at 6.8% and with e-commerce actually growing double-digit. This growth that is broadly in line with our own expectations has been supported by good volume dynamics in line with last quarter -- of last year maybe slightly better. EBITDA growth has been at 8.6% in the quarter with a very strong EBITDA margin expansion of 112 basis points. Second key message, we continue to shape our company for future profitable growth. We are continuing to execute our growth strategy. Two specific topics we want to mention here. We're increasing day by day our focus on our payments and software integration strategy execution based on partnering with the best-in-class localization we will have a deeper dive on the topic. And in parallel we're obviously working on efficiency and profitability accelerating the cost synergies and more broadly our efficiency initiatives also on the back of the integration of the group and this will have a more visible effects later in the year. Third simple message. We continue to pursue a capital allocation to create value for our shareholders. We are starting actually today this morning the share buyback program that we have announced in early March. It's a €500 million share buyback program that will last for a maximum of 18 months. And as I said is starting today. Second key message our net leverage in the quarter has been down to 2.8 times EBITDA from 3.0 at the end of last year. Again, we consider this clear evidence of our ability to strongly generate cash at the organic level and therefore the leverage if we don't have better usage of capital. Obviously, the impact of the buyback will happen later in the year. But for this quarter where there was no material M&A and no buyback effect you see that the leverage went down 0.2 times in three months. Last but not least we confirm as anticipated that €1.3 billion maturities -- debt maturities that expire in 2024 and 2025 will be fully paid down with existing cash. And actually €220 million of that has been already reimbursed during the month of April. Overall, in this context, we want to confirm our guidance. That is I remember to everyone revenues growing mid-single digit; EBITDA growing mid to high single digit with an EBITDA expansion of at least 100 basis points; and excess cash generation of at least €700 million. Now before handing over to Bernardo for results, you remember that in the past we were covering volume details. This was a heritage of the COVID days as I've anticipated a couple of times that we will not do this going forward. Obviously Bernardo will comment and we'll give you more color on volumes in the context of revenue growth. At the same time in the past we were also providing an overview of our progress on the various fronts of Merchant Services. We continue to do this and it is actually the same page you will find it into our attached documentation at the end of the presentation. This time instead we'd like to focus a bit more on a topic that is attracting a lot of attention is always central topic in the conversations we're having with our investors and with all of you more broadly that is payment software integration. And here we want to provide you our point of view on the topic and most importantly summarize our strategy. And, therefore, let me jump on page number four, starting with the way we look at this ecosystem. When you compare Europe versus the US, it's really important to observe the fact that the software and payment integration ecosystem in SMEs is much more fragmented and definitely a very, very local. There are SME software markets specific characteristics and there are European structural characteristics. Starting with the SME software market characteristics that you find summarized on the left of this chart. First of all this is a highly fragmented and extremely local market, the market of software providers for SMEs. There are hundreds of players in each market. And by the way they are normally different by market. Normally the top five to 10 cover less than 20% of market share and therefore there is a long, long tail. Second point in general these software providers are less developed in their propositions and they're actually much smaller than what you find in the US. In fact 90% of their proposition of still relying on stand-alone or lightly integrated payments and moving into integrated payments is more by obsession for the moment. And last but not least, the fact that we have smaller SMEs plus specific market characteristics basically create a lower unit economics for integrated payment solutions versus the US. Normally how much can be charged to an SME for an integrated software and payment solution is normally half or in any case much lower than what you would find in the US, which makes these markets much more difficult for large players to be entered and most importantly much more difficult to be developed cross-border in Europe. At the same time on the right, you can see a number of specific characteristics that are actually structural for Europe. First of all, we have very country specific tax rules and fiscal infrastructure to be integrated. Second, when you look at it from the vertical standpoint you find even more differences in terms of local regulations. Let me give you a simple example, the way you need to present allergies, food allergies in our restaurant menu in Germany is completely different from the way you have to present them in Italy or in Switzerland, therefore, creating further complexity on top of the more regular ones. And last but not least, when you look at the local regulations for a highly integrated business model that tend to be more difficult than what you have in other places. And, therefore, this makes models highly integrated like the PayFac model more difficult and expensive to be deployed. And these are the software market characteristics. On top of this, we should always remember that also the payment market is highly fragmented itself not with more than 150 local payment methods and more than 10 national debit schemes to be managed if you really want to be successful in the mass market of SMEs in the specific country. Therefore, the software SME market has been more fragmented and complex than the payments one. Now for all these reasons what we are seeing and what we are expecting as a consequence as well, but it's already happening is that in Europe this market will develop at a lower speed and with different dynamics and very local dynamics I would add versus what we have seen in the US. Now, our strategy in this context to make integrated payments an opportunity for us is based on two very simple pillars. The first one is, that we want to be the partner of choice for local ISVs. We are the partner of choice already in most cases for local ISVs. We provide the Nexi payment solutions to the localize ISVs relevant in the key verticals, and then integrate bundle them with their software solutions. These integrated bundles are normally distributed by their own channels, we offer a number of flexible business models to these partners of all sizes and maturity and this is very important given the fragmentation of the market and the very different nature of the players that we find in the different markets. Among these business models, we also have what we call, a smart PayFac model for larger and more sophisticated ISVs again, is more an exception rather than a rule. But it's a model that allows on the one side, a simpler life, more efficient life in terms of complexity management to the ISV and on the other side, the more customer and experience control for Nexi. In this context, we have developed and already launched a digital integration platform that is enabling an integrated CRM across Nexi, the software partner and the merchant to allow for example for frictionless onboarding and therefore, merchant and partner fidelization. Last but not least, we're also launching a partner program to help these ISVs to be effective, when they sell integrated solutions to the market again, the vast majority of them that don't have experience in payments and it's in our best interest to help them to be effective in that space on the back of our solutions. And this is the first pillar. The second pillar, goes in parallel to this, we very selectively bundle a very small number of best-in-class software solutions from our preferred local partners, with our Nexi payment solutions and we distribute them through our channels not all of them, not all channels are good for selling integrated solutions, but over time this will expand more and more. We are obviously, starting with basic core solutions that work across most of the simple application, starting with retail. And over time, we'll expand into a few selected key verticals. When we are able to upsell to a merchant the bundle normally, we see an increase in terms of value of the merchant to us in terms of net revenues of about 50% to 100% depending on the specific situation. So these are the two strategic pillars that we are executing. In parallel to that on top of that, we are also leveraging Orderbird for learning and development. This is a very specific investment, we have done a couple of years ago. Orderbird. Let me remind everybody, is a leading SME hospitality point-of-sale software provider in Germany, that is fully owned by Nexi. We have developed with them an integrated payment software proposition that is distributed by Orderbird channels, but now also by Nexi channels. They are fully integrated on the digital platform and was mentioning before. And obviously, we leverage Orderbird also to develop this platform and in general the capabilities that we have in payment software integration further and further. And obviously, even if it's not necessarily a plan today, we remain with the option to expanding now Orderbird into further verticals in Germany or into new markets or both. On Page 6, you'll find a few examples of things that are live today. Here, I just want to mention the fact that on Pillar 1 being the partner of ISVs, we already have more than 500 partnerships over eight markets. Here the focus is coverage of the market, with all the relevant applications and all the relevant solutions being available in the market. While on the second pillar, the rule of the game is more focused in selection. Here, you see three examples of what we are doing in Denmark, where we have selected three solutions from three key partners and we bundle them and distribute them together, with our own services. Let me now, hand over to Bernardo for results.
Bernardo Mingrone: Thanks, Paolo. Good morning. As Paolo has already mentioned, we had a reasonably good start to the year with revenues growing 6%. And EBITDA is growing just south of 9%, and this allows us to increase our EBITDA margin by just north of 100 basis points. Within the overall group revenue growth, we can see that Merchant Solutions contributed 6.8% in terms of its top line growth, and this was and continues to be sustained by international scheme volumes, which you can see grew 8.3% in the quarter. This international scheme volume growth, if you strip out the cash component was cash component being the cash withdrawals was actually growing healthfully in the double-digit area in DACH, and Italy being in a very high single-digit area. Throughout Europe, we see continued growth in the crucially and ever important SME segment. And more importantly, we point out how with e-commerce we're growing revenues in e-commerce year-on-year, driven by both the volume growth in the market, but also customer acquisition, customer base growth. We actually believe that we are growing substantially more than the market in e-commerce. If we move on to Issuing Solutions, I'm on slide 10. We have a very strong quarter given also our expectations and guidance for the year with the growth, which is 5.2%, again, driven by top line growth driven by international scheme volumes. Here, we continue to call out crucially important for us, acceleration of international debit in Italy, we were well above the 6 million card mark in Italy, beginning of this year. So continued strong growth there, and we continue to focus and succeed in upselling and cross-selling our value-added services to our customer base across Europe. I think it's fair and important to call out what we did last year, if you remember, in the second quarter, if I remember correctly, last year, we called out how there's a one-off contribution coming from banking M&A, which flattered our performance somewhat in the second quarter last year, and this will obviously have an impact to our full year performance this year. This is obviously all expected, and it's just a comp issue year-on-year comp issue. So that 5% is a strong start to the year, but you should bear in mind that the comp for 2023 gets worse as we move forward in 2024. We move on to DBS. DBS had, I would say, a very strong start to the year with this growth of 4.3% coming from volumes in the EBA Clearing space. So a number of bank transfers increasing double digit in the year, but also project work coming in probably from a phasing perspective a little earlier than expected, but very good performance from DBS as well in the first quarter. If we look at the split geographically, you can see Italy and the growth in the top line Italy, as I mentioned earlier, supported by volumes in international schemes. If you look at the Nordics the truth is you should probably look at that top line growth in the low single-digit area being split into one on acquiring where growth is more like mid-single digit and an issuing where we have the runoff of some legacy contracts, not really in issuing, but more in the account-to-account space or in the DBS space are also tied to past M&A with Mastercard and the current sale of Nordic DBS business. DACH & Poland, I would say, very strong performance in Poland and Germany, we spoke of the volumes in Germany in the Merchant Solutions part. And with regards to Southeastern Europe, I would only call out that Greece is performing well. But in general, I would say that Southeastern Europe is performing in line with expectations. Moving on to costs on slide 13. We have growth in the quarter, which is very similar to the full year growth in costs of last year. We've already spoken about the effect of inflation, wage drift and impact upward pressure on wages coming from renegotiations of collective agreements in Italy and outside of Italy. I would say that and we mentioned that last year when we had a big one-off from Italy in the fourth quarter. But starting from the 1st of January this year, we are also taking a hit in Italy on the renegotiation of the contract, which, on a year-on-year perspective, actually, increases cost growth -- wages cost substantially at 6.2% would be half of what it is if we hadn't had that the early renegotiation hit us in the first quarter. On operating costs, I would highlight how I think we have our performance flattered a little in the quarter. So contrary to wages, on non-HR cost, we have a bit of a benefit coming from phasing of projects. And I just remind you that clearly our guidance for the year, whether it'd be revenues, EBITDA, cash, et cetera, is for the year, not for the quarter, but I'd say a good start to the year there as well. Slide 14, Paolo mentioned how the strong cash generation in the quarter has supported us to reduce leverage to 2.8 times. Clearly, the first quarter is one which benefits from the seasonality of tax payments no M&A being completed in the quarter and so on and so forth and that has led us to reduce leverage to just below around 2.8 times. Just following quarter end, we paid down our nationals. This is as expected. We have highlighted how we had earmarked €1.3 billion of available cash to pay down debt in 2024 and 2025. We started doing so. In April, we will continue for the rest of this year and next year as expected. And I will also highlight how rating agencies and this is true after the call for the first quarter results have actually been supported with regards to the leverage profile and our cash generation ability. So from a net financial debt and net leverage position, I'd say a good quarter as well. Finally before handing the floor back to Paolo, he mentioned we kicked off our share buyback program this morning €500 million in total. The 18-month time horizon is a maximum period clearly the speed and pace of delivery of this buyback program will depend on market conditions share price and so on and so forth. But it's important to note that it started -- or will start actually in about half an hour when the markets open. I hand the floor back to, Paolo. Thanks.
Paolo Bertoluzzo: Thank you, Bernardo. Let me conclude, first of all by confirming again our guidance for the full year. We expect to have net revenues growing at around mid-single digits EBITDA growing mid-to-high single digit with EBITDA margin expansion of at least 100 basis points. We expect to generate excess cash -- organic excess cash of more than €700 million and we expect leverage to be down at below 2.9 times EBITDA including the announced M&A and the share buyback effect. Otherwise this will be down to 2.6 times on an organic basis. And let me conclude just covering again the key messages today. First of all, we have continued consistent delivery of growth and margin expansion, Bernardo just went through it. Second, that we continue to shape next year for future profitable growth both, in terms of executing our strategies on the growth opportunities, but also at the same time continue to drive efficiency in the business. And last but not least, we'll continue to pursue a capital allocation that we believe is the best to create value for our shareholders. And as you see today at the same time we reduce -- continue to reduce our leverage but also we start giving back value to shareholders through the share buyback that is starting today. Let me stop there. And let me open to your questions.
Operator: Thank you. This is the Chorus Call conference operator. We will now begin the question-and-answer session. [Operator Instructions] The first question is from Justin Forsythe with UBS. Please go ahead.
Justin Forsythe: Good morning Paolo, Bertoluzzo. Thank you very much for having me and nice results, a couple here from me. So first, I wanted to hit a little bit on the ISV strategy which was a nice set of slides and section there. I really appreciated that. The point you make around the speed of adoption relating to fragmentation really resonated. I imagine you have a few scenarios mapped out in what instance drives your upside case, for adoption. Maybe you could highlight a little bit where you could see where you think you might be able to see accelerated adoption of software-led across Europe? And also on top of that it's clear from your slide deck and logically that you're best suited to serve local software platforms. Does that make the proliferation of more global ISVs a potential risk? And I was wondering if you could talk a little bit about the phasing in Merchant Services throughout the year. Clearly there was some strength in Italy. However, I think there is also some impacts relating to competitors, and other merchant portfolio purchases, and dynamics relating to direct sales force distribution. Maybe you could walk through that as well. Thank you.
Paolo Bertoluzzo: Good morning, James [ph]. Thank you for your comment on ISV. And I think in order to cover your question you could spend a few hours I think given our relevant and articulated topic is. First of all, I think what I've been describing is something that we observed across the board in Europe and across basically most verticals at the same time. Then said that clearly you have dynamics that are slightly different country-by-country and vertical-by-vertical. In general you see the most digitalized countries and here I'm referring to the Nordics and moving a bit faster in this space than the less digitalized ones. And therefore for example Nordics are a bit ahead of Italy as it is normal for this type of dynamics. And you also see this sector-by-sector. For example hospitality and for example restaurants are a bit ahead in this dynamic compared to for example to groceries okay where clearly the need for more sophisticated software is less relevant to manage the business. So, this is what I would say at this stage. In terms of the relevance of the more local players versus the more global players, to be honest with you, this is really one of the points that we're trying to make with the context page. As I said, it's pretty difficult for software players to roll out across different countries and for the reasons that I've mentioned. And therefore we see at least for some time being the local players more active than the more global players trying to come over. In the countries where we are, we don't see for example any relevant activity from the U.S. players that you may have in mind. And the ones that are present for example we have light speed in Switzerland are actually coming on the back of a very old acquisitions. They are not recent greenfield developments. I guess the point we're trying to make here is that for a large player that is very successful and growing nicely in the U.S. very efficiently with one solution that fits all, to come to every single country in Europe and to a specific development of a much smaller opportunity, it's much more smaller SMEs and in a much more complex environment is not the same thing. And therefore we see at least for some time this local dynamic being the one that remains more relevant. As far as the Merchant Services development is concerned throughout the year, Bernardo will take it.
Bernardo Mingrone: So, I think there's two parts to Justin's question Paolo. I think the first one on volume in general across Europe we have projected no real changes in pace during the course of the year coming from the market. Now I think and we've seen a slowdown coming from macro. We've spoken to that in the past and I think nothing has changed there. What we've had and I think that's what you're referring to Justin was in the past some M&A activity which has seen us lose some clients to some of our competitors in Italy and that obviously has happened. And over time we will see the impact on that on our volumes. However, it's important to note in footnote in the appendix we are building our alternative distribution channel which is basically a non-bank distribution channel in Italy in particular a market where we've lost two competitors some through some M&A some of the merchant books. And in the future this will help us to win back at least some of those clients so things will improve.
Justin Forsythe: Awesome. Thanks so much. Appreciate it.
Operator: The next question is from James Goodman, Barclays. Please go ahead.
James Goodman: Good morning. Thanks very much for taking my questions. First one just on the growth of issuing through the rest of the year. You've been quite clear about the project related comp effect. You were speaking about that last year but you're saying that's going to impact the business more from Q2. Just wondered how significant a slowdown should we anticipate here? And will that continue through the year? I think Q4 is the toughest comp. Is that right? Will that be the trough in the issuing side of the business? And then just coming back a little bit on the merchant side. Just the fact that revenue was growing ahead of volume in the quarter. Is that pricing mainly? Or is it this dynamic where you mentioned that the international schemes excluding cash withdrawals are growing faster? And should we continue to expect basically the Merchant Services revenue to be growing ahead of the volume that you do report for the division through the rest of the year? thank you.
Paolo Bertoluzzo: Good morning James. Thank you for your questions. Listen I think we can only confirm what we anticipated. I think in the conversation we had when we did present the guidance. Again a very strong quarter at the beginning of the year. And then throughout the rest of the year, you will see a lighter growth. I think overall, we expect -- and this is basically driven by the effects from last year strong project activities that we don't expect to see repeated this year with the same size. Overall, we expect for the full year growth in the space of low single digits. This is exactly confirming what we said in the past. As far as the Merchant Services dynamic volumes and revenues is concerned, I think that there is a part of what you are saying, but I think more broadly the reason why revenues are well supported on top of what is the support that we received from volumes is driven by a number of factors. First of all, we continue to expand our customer base which is important because there are revenues that are associated with the customer, not with the volume. And second as much as possible we try to up-sell/cross-sell more valuable propositions. I think in the Merchant Services pages you find an attachment. For example, we are mentioning the fact that we are more and more upselling value-added services on top of our own products and services. And a good example is the good traction that we are seeing with merchant financing through a partner. but with merchant financing as we upsell it to our customer base. And clearly this is contributing to customer value and therefore to unitary revenues. And last but not least clearly the contribution from e-commerce that is growing faster than point-of-sale volumes is clearly -- revenue is clearly contributing because normally again the unit economics of e-commerce are normally a bit better than the unitary economics of traditional point-of-sale services. So that's a combination of elements there.
Bernardo Mingrone: That's probably if I can help address James' question because I think James the question was revenues are growing 6.8%. Volumes, I think the ones you were looking at were 5 but the truth is you should look more to the international to the point is what we -- that's where we derive most of our revenues from. So we should benchmark it against that. And then everything else that Paolo said holds true.
James Goodman: That’s very clear. Thank you.
Operator: The next question is from Josh Levin, Autonomous Research. Please go ahead.
Josh Levin: Good morning. Just going back to software and payments. I think you said that so far you're not seeing too much competition from US players in this space. But how would you say Nexi's offering stacks up against Stripe or even Adyen in this area? What does Nexi bring to the table that they don't? And then the second question, if BBVA and Sabadell merge, what does this mean for Nexi? Thank you.
Paolo Bertoluzzo: Good morning, Josh. Well, first of all again, the strategy that we have in the space is very consistent with what we are doing more broadly in payments. And as you may remember from our Capital Markets Day and as we have reiterated several times, we are great believers of the fact that scale is very important to be able to offer very competitive products and services and also having leverage and efficiency and profitability. But at the same time, being extremely local is also very, very important. And as you can imagine in a world that is a highly fragmented that is super fragmented and super local. Our local presence, our ability to serve very closely these smaller ISVs, our ability to provide older local and relevant payment methods is something that is highly, highly appreciated. And it is also something that is very, very difficult for the more global players that are much more distant and by the way much more standardized with their solutions is highly appreciated by our partners. I also mentioned for example the flexibility of our business model that is really suited to the specific situation of the specific market. So that's really not the differentiation angle that is very consistent with the broader differentiation of Nexi. Coming back on the situation in Spain, obviously, we're all observing the evolution there. We have developed a very strong and constructive relationship with Sabadell since the very, very beginning. Based on the work we have done together, we are even more convinced about not the potential of this partnership but more broadly of the Spanish market. As we speak, we can only monitor the evolution of the situation in close contact with Sabadell. And obviously, the situation is changing I would say by the hour. At this stage in any case there is no closing date being set because we have been waiting for the last authorization from Bank of Spain that is at this stage still pending. Said that, I said all of that as you would expect and it is actually market practice and for us is very much standard for all our deals from the very first ones we've done in Italy in the contracts that we have signed there are a number of standard provisions that we always have that regulate the situation in case of a change of control in the best interest of all shareholders. So bottom line, we are monitoring the situation. But overall we are very relaxed about it.
Josh Levin: Thank you very much.
Operator: Next question is from Sandeep Deshpande with JPMorgan.
Sandeep Deshpande: Yes. Hi, good morning. Thanks for letting me on. You have – there are some businesses that you have disposed in the past couple of years. Are there any other businesses here that could be potentially disposed that could potentially help the growth rate of the business? We've seen for instance that you've seen very strong growth in Italy. You've seen growth in Germany, but Nordic seems to go up and down. Clearly it's not a business you want to dispose but are there any other smaller businesses there that could still go out to improve the overall growth rate? And I have a quick follow-up.
Paolo Bertoluzzo: Good morning, Sandeep. Well it's – I reiterate what we said in the past and what we said I think Capital Markets Day back at the end of 2022. Yes, as we look at our business portfolio in the area of the third business unit digital banking solutions there are certain businesses that are less core than others and that at some point we may dispose the right conditions and to the right buyer as you can imagine, as an example of that we have signed a few months back a deal with a French company to buy our electronic ID business in the Nordics and that deal is expected to close later in the year. But again, there is work ongoing on a number of opportunities and we'll keep you updated on that. From the geographical standpoint, although I think that our view is more articulated in the sense that when you look at our portfolio of geographies, we really have a nice combination of what we call more the cash engines and the growth engines. And this is really important I think for any business to have this type of portfolio and we are quite happy with ours. And therefore, you see a larger you see markets where we have a large position and we have leaders and this includes obviously, Italy but it includes also the Nordics where maybe in the case of the Nordics growth rate that you can expect a bit lower but actually the cash generation is pretty good and it's helping us to fuel growth on the cash – on the growth-generating engines such as for example, e-commerce across the board, such as for example the DACH region in Germany more in particular and the other opportunities that we have around. So it's more a portfolio that is relevant for us from the geographical standpoint rather than the single standalone geography.
Sandeep Deshpande: Thank you. And finally my question is on e-commerce. I mean you seem to have highlighted e-commerce as a growth engine in this current quarter. What has changed there? Because when you look at the growth last year it was single-digit, now it seems to be going back into double-digits. Has something changed? Is it regional? Is it across the board? Maybe any color on that would be helpful.
Paolo Bertoluzzo: Yes, we have highlighted as many, many times e-commerce as one of the most relevant growth opportunities for our company. In fact actually growth has been double-digit not just in this quarter but for some time I think the full year last year was also double-digit. And here we are increasing our focus more and more over time. We're increasing our commercial efforts more over time. We also have strong propositions in place that we are rolling out across the different markets and you see the effect of it, which again are targeted not at a very large global merchant that is not in our space, but again are really targeted to the mid-market to the local semis or the local smaller corporates. And that market is a market that is growing very nicely and requires a lot of local support and local integration which is very consistent with our strategy.
Sandeep Deshpande: Thank you so much.
Operator: The next question is from Sebastien Sztabowicz, Kepler Cheuvreux. Please go ahead.
Sebastien Sztabowicz: Yeah. Hello, everyone, and thanks for taking my question. Could you please provide some comments on the volume trends since the beginning of the quarter? Have you seen any change in the dynamic in consumer spending over the past few weeks, few months? And the second one is linked to the partnership with UniCredit. Have you made any progress there? And can you make an update on the situation with UniCredit? Thank you.
Paolo Bertoluzzo: Let me take the second one and then hand over to Bernardo to cover the dynamics consistently with what we said before. Listen, on UniCredit, I reiterate what we said in the past that we have a long-term partnership with UniCredit. As we always said that goes up to 2036. As also announced by UniCredit themselves in their market communication on a few days ago. UniCredit has a lot of focus on payments and they want to develop their strategy there and accelerate further. And we are very happy to be their partner. I think they also related Nexi together with Mastercard their key partners there. And as we discussed in the past, we have over time conversations on how we can support more and more and better and better this strategy. On volumes Bernardo?
Bernardo Mingrone: Yeah, Sebastien. I think we mentioned it during the course of the call, I'd say that the first quarter this year shows no real signs if anything a slight improvement on quarterly performance in the last quarter's performance last year. So there's no real change in terms of the expectations on macro. They have pretty much realized in terms of the slowdown year-on-year and the first quarter started pretty much in line with the fourth quarter of last year.
Sebastien Sztabowicz: And just on UniCredit. Do you have an opportunity to partner on the merchant acquiring side? You have been a historical partner on issuing. But is there anything that you can do on acquiring?
Paolo Bertoluzzo: Well, listen, I think these are choices that are in the ends of the banks. I think it really depends on the strategy that every single bank wants to follow impairment. So this is more of a question for them not for us. Clearly, one day -- as with any other bank if when they have an interest in that direction, we definitely would have a conversation. But it is a question for them and more than for us.
Swbastien Sztabowicz: Thank you, Paolo.
Operator: The next question is from Hannes Leitner, Jefferies. Please go ahead.
Hannes Leitner: Thank you for letting me on. I got also a couple of questions. And I want to go back to the ISV business. Maybe you can talk a little bit about where Nexi services should end? Is it just acquiring? Or is it also the card acceptance? And what is the associated take rate you expect compared to the Merchant Services take rate you are having at the moment? And then the second question is around Italy. You talked at Capital Markets Day to build up your own sales force maybe you can give there an update? And then maybe also on the expected growth for the region thinking also about the backdrop of macro moving parts what you are seeing there? Thank you.
Paolo Bertoluzzo: On ISV, again, as we have a number of business models, it really depends on the business model, what we provide. Obviously, we provide acquiring. And I would say that in most of the cases in one way or another, we also provided the acceptance solution. But on top of it, we also provide in many, many cases the digital assets and what makes the customer experience of the merchant. Again, given the specific situations that you have in Europe with the characteristics that I've highlighted in many, many, many cases these are more pure distribution deals rather than highly integrated or complex business models these and therefore we are recapturing the benefit of having an additional distribution channel. And again, here the economics can vary a lot depending on the partner, the model and what we do for them. But normally they are consistent with what I said. We look at this as a distribution channel that is normally paid for acquisition and normally retains a part of the fees that we have from merchants. But clearly is very limited to no fixed cost for us. So it's also a pretty efficient additional distribution channel. As far as…
Bernardo Mingrone: The challenge [ph].
Paolo Bertoluzzo: We mentioned it earlier, Hannes on an initiative, which as you say has long-dated roots we started thinking about building an alternative distribution channel in Italy a while ago. Obviously, it's not as simple as just deciding to do it and doing it the day after. And over time we have now built and that was almost I think in April, we're almost 200 agents both Nexi agents and tied agents from external networks. We're selling our product. And these are targeted at those customers that are not captive to us and have either we've lost them as I was mentioning earlier because of bank M&A in the past where we have chosen not to bid at some of the prices that were these assets went up or in general that portion of the market, which is in ours. And that is growing and is I would say in its infancy stage. So as I mentioned also earlier, I think what we have seen today is a small part of what we expect to be the contribution from this channel going forward.
Hannes Leitner: Thank you.
Operator: Our next question is from Aditya Buddhavarapu, Bank of America. Please go ahead.
Aditya Buddhavarapu: Good morning. Paolo, Bernardo. Thanks for taking my questions. Firstly, could you just comment on the trends you've seen in terms of discretionary versus nondiscretionary or basic consumption across your markets in Q1? And similarly if you could comment on the trends you've seen in terms of volumes in April you usually have a slide with those volume trends in your presentation. So just keen to hear more about that. Second, could you also just comment on the Digital Banking Solutions business, how we should think about the shape of growth during the rest of the year? And then finally, how should we think about the phasing of your EBITDA during the year given some of the efficiencies you expect to come through in the second half?
Paolo Bertoluzzo: Good morning, Adi. So I think Bernardo mentioned it a little bit earlier on. As you can imagine there is a dynamic that we can observe across various markets where nondiscretionary expenses normally grocery supermarkets and so on and so forth continue to trend in a more robust way versus discretionary. And this to be honest with you is quite similar to what we've seen at the end of last year. Then market-by-market there are different dynamics, month-by-month we may have different dynamics but honestly it's broadly in line with what we are observing in the latter part of last year. So that's dynamic. I think, it's very difficult to comment on a month-by-month basis because every month is different from the other one. Just to give you a sense, February this year was a stronger month because it had one day more than the last year. March instead was affected by the fact that if there was in a different month compared to last year. And again April you have a number of bank holidays around. So we really want to look at this more on a quarterly basis and as a more structural trends. For now, we don't see any major changes or any major shifts happening. Again volumes are broadly in line with the end of last year and broadly in line with our expectations and we expect to continue to see similar dynamics throughout the year. As far as DBS is concerned, we remain on where we were at the beginning of the year. We expect this unit to grow in the low single-digit space that particularly good I think first quarter, but this is…
Bernardo Mingrone: Low to mid.
Paolo Bertoluzzo: Yeah. But and we expect them to continue to perform well. As far as the EBITDA dynamic, I think EBITDA growth was particularly strong compared to our yearly guidance in the quarter supported by slightly higher than guidance top line growth plus as Bernardo suggested some cost phasing that will revert in probably Q2. As we said early in March, we expect to see, especially towards the latter part of the year, dynamic with more challenging comparisons on revenues given the heavy project work and the positive effect of it that we had at the end of last year while at the same time we expect to see stronger cost reduction or in general cost dynamic supported by the efficiency measures that we are rolling out as we speak.
Aditya Buddhavarapu: Understood. Thank you, Paolo.
Operator: The next question is from Alexandre Faure, BNP Paribas. Please go ahead.
Alexandre Faure: Hey. Good morning. Thanks for squeezing me in. A couple of questions if I may. The first one is on international debit in Italy. You called out some strength there, and I was just curious what's driving that. I think at IPO time you mentioned a few use cases, I think around contact-less and e-comm that were not supported by document, but I thought the scheme had caught up. So just curious if you're seeing some Italian banks starting issuing single batch cards and not showing document anymore? Second question is more in terms of cash generation and the seasonality there. Bernardo, you mentioned that the tax-related payments tend to happen in the second half. I was wondering if you could comment on a lot of interest-related cash out if this is relatively evenly spread across the four quarters or if Q1 is relatively light on that front. Thank you.
Paolo Bertoluzzo: Good morning, Alexandre. I will let Bernardo cover the topic of cash generation. Let me just instead comment on your first question on international debit in Italy. I think there are a couple of reasons why this is moving so nicely. I think, first of all, let's be honest, this was a little bit of a newer business for us. So this growth is happening more greenfield. And even if the document capabilities are over time catching up. Nevertheless international debit capabilities are also continuing to evolve quite fast with the evolution of the international scheme solutions. But also, I would say, under the push of the incentives that banks receive from international schemes, which is a very clear dynamic. At the same time, I think it's quite important to underline the fact that we manage international debit as a product as much as debit -- as much as credit in Italy. And therefore, over time, we have developed a product in a very, very attractive direction. We started with a basic product and we developed the business product then we developed the premium product. Then we have added the premium program. It has a number of digital capabilities. We have digital issuing capabilities for real-time issuing. So, it's really a very, very articulated and rich product which by the way, I think has very little benchmarks around Europe and for us it's a very profitable product as well. Bernardo?
Bernardo Mingrone: Yes. So I think rather than -- then -- so in terms of the phasing of the coupons, I mean in general, we pay second quarter and fourth quarter. So the first quarter would be a little lighter. I think the other additional effect we'll have this year is the paydown of the gross debt and therefore, lower cash interest paid on the bonds and that are being reimbursed. And finally, obviously, not 100% of our interest payment is fixed. Part of it is variable and tied to rate versus to the extent you expect rates to come down we will benefit from that as well. But in general, I'd say, depending on when the bond is issued, obviously, the coupons are paid they're paid half yearly but mostly in the second quarter and the fourth quarter.
Alexandre Faure: Got it. Thank you.
Operator: The next question is Deepshikha Agarwal, Goldman Sachs. Please go ahead.
Deepshikha Agarwal: Hi. Good morning, everyone. Thanks for taking my question. I think a lot of my questions have already been answered. Just one, you have just announced the launch of the buyback today. So -- and you talked about like returning cash in terms of dividends as well. So please can you like elaborate on how you're thinking about your dividend policy as well as buyback? Is there any scope for any step up above and beyond that €500 million you've just launched?
Paolo Bertoluzzo: Good morning. Let me pass the question to Bernardo.
Bernardo Mingrone: So I think we hope -- to have been clear when we sent the message out in March that this was the start of a turning point, let's say, in our journey in terms of aggregating players across Europe to create the European champion in terms of digital payments and integrating them with all the transformation expenses that we've incurred so far. And now that we've turned that corner and are at a level where we expect cash generation to be €1 billion in 2026, we feel that we are able to start returning capital to shareholders. And it started with this €500 million initial return of capital to shareholders which as I said is an 18-month program but might be completed sooner than that which is only a first step in that process. At some point we will start paying dividends but this will depend on the share price or we might continue to buy back stock. I think what we tried to convey as a message is that cash generation inherent in our business the very predictable and stable underlying growth that we benefit from in our market. The inherent leverage we have operating leverage in our business we have churn this cash which is sufficient to invest in our business fund the CapEx and the growth initiatives we need to fund in order to be able to continue to generate this cash. It's sufficient to pay down debt and we've started to pay down debt as we speak. It's sufficient to carry out the little M&A we expect to need to carry out in the coming months and years. And it's sufficient to start to remunerate to pay back capital to our shareholders. And the €500 million is dispersed tranche. And in the future we'll look to do more maybe differently in that same space.
Deepshikha Agarwal: Got it. Thank you.
Operator: The next question is from Aleksandra Arsova, Equita. Please go ahead.
Aleksandra Arsova: Hi. Good morning. Thank you for taking my questions. Two on my end. The first one just a follow-up on excess cash and cash generation. So I assume the broadly €200 million an improvement in net financial position is excess cash. So how should we see the phasing of the excess cash generation for the full year to more front-end loaded, back-end loaded just an idea on this given that we have several moving parts efficiencies revenues and cash interest payments and whatever? The second one is more on the initial strategy you explained and on the competitive arena. So you mentioned that there is little interest of let's say international players to become local players in a fragmented scenario like the European one. But for example recently we saw WorldPay coming to in Italy and partnering with Satispay. So how should we see this move is something more of a trend of international players coming and partnering with small local players? Or is it just a sort of one-off thing? And the very last one is a follow-up on the BBVA-Sabadell deal. So in the case of the merger I mean it's finalized and also in the case you finalized the acquiring of the merchant book of Sabadell do you see this merger between BBVA and Sabadell as a further opportunity to increase your potential your market share in Spain or maybe it's more of a risk because maybe then the fee if you can generate will be lower? Or anyway if you can give more color on this. Thank you.
Paolo Bertoluzzo: Good morning, Aleksandra. So I'll let Bernardo comment on excess cash maybe also on Sabadell if you wish Bernardo. On the competitive dynamics let me be very clear. The comment I was making before were more around the software space. By definition we see interest from international players in the European market that are already present by the way. Now we also see their interest in Italy as we already discussed several times. At the same time I would really consider this WorldPay Satispay I think is something that is totally marginal to this dynamic given the nature of it and given the nature of the players we are talking about. Bernardo?
Bernardo Mingrone: Yes. On the profile of cash generation I understand your need to have quarterly updates and -- but our guidance is for the year. So -- and we stand by our guidance more than €700 million generated in the year. I think we started the year off well. But clearly, there are seasonal effects taxes get paid more heavily in the second quarter and even in September, but in the second half in general. There are the coupon payments, which we mentioned earlier which are paid more skewed towards April and October I would say. So there is some seasonality, but you should look at our guidance as a full year guidance. There are also year-end effects, which are very hard to predict and we spoke to them back in March, when we commented the full year results. So I think you should look at us on a year-on-year basis and on a full year basis and our guidance is to generate that €700 million. We started the year off well. With regards – sorry, your question was on BBVA and Sabadell. I mean clearly, we struck a deal with Sabadell. And as Paolo mentioned, we stand by that deal which is with Sabadell. And as all M&A deals go, there are standard market standard provisions that protect integrity of that deal. If BBVA is successful in its offer for Sabadell, we are prepared to manage that outcome and it's not necessarily one, where we remain in the partnership depending on what also the resulting end you will decide to do. It's not an automatic process, that we remain in that deal.
Operator: The next question is from Tommaso Nieddu, AlphaValue. Please go ahead.
Q – Tommaso Nieddu: Thank you very much for taking my questions. Just two for me, please. First, during your full year release, you bundled your EPS growth target. So I was hoping, we could get some more color on what you would expect happening below EBITDA during 2024? In Q4, we were somehow surprised by higher D&A. So first, on that? And then second on Poland, Bernardo you mentioned, a very strong performance. Can you give us some more color on what you are seeing there? And what is the growth, you would expect that for the future? Thank you.
Paolo Bertoluzzo: Good morning, Tommaso. Let me take Poland, and then hand it over to Bernardo, with EPS dynamics. Poland is a very attractive market. It's a market by itself is growing quite, frankly. And in Poland, we have two very strong assets. On the one side, we are the market leader in e-commerce offering a full-fledged portfolio of acceptance services, acquiring services and we also own the most successful -- one of the most successful payment schemes account-to-account based in the country and we have a very strong position and we enjoy market growth there, and we continue to expand actually our market position. The second position that we have is actually on SMEs. And here, we have a fast-growing business that is always in the teens actually normally closer to the 20s in terms of growth, and that growth is driven by again, the market attractiveness, but also by the fact that quarter-after-quarter, we win more and more customers and we are taking market share. So this is a market that over time is getting more important for us. On EPS?
Bernardo Mingrone: On EPS, what's going on under EBITDA. So we, spoke about interest. In terms of taxes, very, very hard to predict in a very exact way taxes. But we -- there's nothing, I would say, substantially different this year in terms of our tax profile than in the past. With regard to D&A, obviously, last year, we had the big hits coming from the impairment of the goodwill. Other than that, maybe there's a few million euros more on ordinary amortization and depreciation of intangibles. But I would say that the guidance that we gave stops at EBITDA, we haven't given guidance in terms of EPS. But if you project continuity in what goes on under EBITDA compared to the past. So adjusting for, for instance, on the nonrecurring items we said we are going to book on a non-cash basis, €150 million of restructuring charges. So we need to take that into account. And obviously, if you take that into account, there is an impact, which will slow down EPS growth. If you look at it on a normalized basis, we will have a progression in EPS growth coming from the growth in the EBITDA we're projecting.
Q – Tommaso Nieddu: Okay. Thank you very much.
Operator: The last question is from Aditya Buddhavarapu, Bank of America. Please go ahead.
Aditya Buddhavarapu : Hey, Paolo, Bernardo, thanks for letting me again. Just one more for me. There have been some press reports on pressure on fees from the government in Greece, on the fees you charge to smaller merchants and some more aggressive competition from global payments there. So could you just maybe comment on what you're seeing in that market in terms of fees pressure and the competition?
Paolo Bertoluzzo: Listen, we've been obviously following the situation there. Honestly, we don't expect any material impact from the development there actually. Our Greek acquiring business is growing nicely in terms of volumes. And we also had some positive pricing moves over the last few months. This topic of intervention on fees is something that has been decided, but it's really, really focused on smaller merchants, specific vertical, specific applications, ultimately is quite similar to what happened some time ago in Italy where instead of having our government decision, was actually self decided by the industry, but again with -- in both cases with a pretty marginal impact.
Aditya Buddhavarapu : Understood. Thank you, Paolo.
Operator: Gentlemen, Mr. Bertoluzzo, there are no more questions registered at this time.
Paolo Bertoluzzo: Very good. Listen, thank you. Thank you again. Thank you for your questions. I will be around or actually over or indeed -- of course over the next few hours and days. So happy to catch up again. So very simple messages, a good start of the year, in line with our guidance, if anything, marginally better, continue to shape the company for future profitable growth, and we continue to allocate our excess capital that is material and is growing by the day in the best interest of our shareholders. Thank you very much. And hopefully, we'll meet many of you very soon. Bye-bye.